Operator: Welcome to the Second Quarter 2014 MPLX Earnings Conference Call. My name is Hilda, and I will be your operator for today. At this time, all participants are in a listen-only mode. And later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Tim Griffith. Mr. Griffith you may begin.
Tim Griffith: Okay. Thanks Hilda. Good afternoon and welcome to MPLX’s second quarter 2014 earnings webcast and conference call. The synchronized slides that accompany this call can be found on mplx.com under the Investors tab. On the call today are Pam Beall, President of MPLX; and Don Templin, Chief Financial Officer. We invite you to read the Safe Harbor statement on slide two. It’s a reminder that we will be making forward-looking statements during the presentation and during the question-and-answer session. Some forward-looking statements may relate to MPLX’s sponsor, Marathon Petroleum Corporation. Actual results may differ materially from what we expect today. Factors that could cause actual results to differ are included here, as well as in the filings of both MPLX and Marathon Petroleum with the SEC. Now, I will turn the call over to Pam Beall.
Pam Beall: Yes thank you Tim. MPLX reported solid financial results for the second quarter with performance that continues to expand the distributable cash flows of the partnership. Our Board of Directors declared a 4.6% increase in the distribution to $34.25 per unit for the quarter. This distribution represents 20.2% increase over the second quarter of 2013. The Board has also authorized distribution increases for six consecutive quarters that represents a compound annual growth rate of 18.1% over the minimum quarterly distribution established at the time of the IPO in the fall of 2012. Our team is successfully executing our business plans and strategies. Through the first half of 2014 MPLX spent $310 million to acquire an additional 13% interest in MPLX Pipeline Holdings LP and spent approximately $15 million in capital expenditures. Our 2014 capital expenditures are focused on growth oriented projects and a more heavily weighted to the second half of the year representing approximately $130 million of additional spend. MPLX continues to move forward on its proposed cornerstone pipeline project with the non-binding open season beginning tomorrow August 1st. The planned Cornerstone pipeline will enable shippers including our sponsor MPC to bring Utica shale liquid from Southern Ohio to the Canton, Ohio area. The Cornerstone pipeline is being routed to provide opportunity for connections to various Utica Shale condensate stabilization, fractionation and cryogenic facilities along with potential future gathering and storage facilities. MPLX is also advancing various Utica build out projects to provide service to additional markets beyond Canton, Ohio. These projects include new construction and utilization of existing pipelines. MPLX is also exploring pipeline options to deliver condensate and diluent from the Utica Shale to the Chicago, Illinois, area refineries and into pipelines the ultimate supply diluents to Western Canada. Sizing and design of the Cornerstone Pipeline will depend on shipper volume commitments and product types to all the potential destinations. To plan Cornerstone Pipeline and associated potential Utica build out projects would allow MPLX to provide transportation solutions from the Utica Shale to a wide range of markets. MPLX is also making investments at its Patoka, Illinois crude oil hub to connect to the plant Southern access extension pipeline. Our sponsor Marathon Petroleum recently exercised its options to acquire a 35% interest in this pipeline which will connect the Enbridge mainline at Flanagan Illinois to Patoka. MPC’s interest in the Southern Access Extension is a potential addition to MPLX over time. We view the Patoka hub is a key area for growth and it is a growing crude oil storage area with the ability to source nearly all Midwest refineries. We continue to explore other organic projects and growth opportunities will provide desirable cash flow characteristics for MPLX as the Partnership grows. Our sponsor Marathon Petroleum intends to use MPLX as the primary growth vehicle for its midstream business and has significant midstream assets which could be dropped into MPLX well into the future. We have a variety of levels to grow the partnership and we remain committed to an attractive distribution growth profile for our unitholders over an extended period of time. And with that, I'd like to turn the call over to Don to review the financial results for the quarter.
Don Templin: Thanks Pam. So bridge on slide four shows the change in net income during the second quarter 2014 on a 100% basis compared to the second quarter of 2013 as well as the adjustment for the 31% interest currently retained by MPC. The primary drivers for the increase in our net income with the recognition of revenue related to volume deficiency credits arising from deficiency payments received in prior periods and higher average tariffs received on the volumes of crude oil and products shipped partially offset by lower volumes. Turning to slide five, distributable cash flow for the second quarter 2014 was $36.2 million compared to $27.2 million during the second quarter of 2013. During the second quarter of 2014, MPC did not shift its minimum committed volume on certain MPLX pipeline systems. Although this $6.9 million of MPC deficiency payments in the quarter do not immediately enter into the determination of income they are included in the $36.2 million of distributable cash flow in the period. Adjusted EBITDA attributable to MPLX included $6.1 million of revenue resulting from recognizing volume deficiency credits that were generated in a prior quarter. The total cash distribution for the second quarter will be $26.5 million. Based on the distributable cash flow, this represents a coverage ratio of approximately 1.37 times compared to our target coverage ratio of 1.1 times. Our coverage ratio will fluctuate from period to period, primarily due to the seasonality in maintenance spending and the timing of dropdowns in acquisitions. However, we do expect it to trend back toward target over time. Slide six provides adjusted EBITDA and distributable cash flow by quarter for MPLX and continues to highlight the stability and growth of distributable cash flow over time. Slide seven shows that at the end of the second quarter, we had $43.2 million of cash and $245 million available on our bank credit facility. This liquidity should allow MPLX to pursue growth opportunities that expand its growing base of distributable cash flow. Our consolidated total debt to consolidated EBITDA covenant ratio is 1.8 times, well below the maximum allowed of five times and continues to provide great financial flexibility for the partnership. In closing, slide eight demonstrates our commitment to return value to unitholders. It provides our distribution history since the IPO and highlights consistent quarterly growth in our distributions. MPLX’s second quarter 2014 distribution represents an increase of more than 20% over the second quarter of 2013. As Pam mentioned earlier, this quarter’s distribution results in an 18.1% compound annual growth rate over the minimum quarterly distribution. MPLX remains committed to sustaining long-term distribution growth for our unitholders for an extended period of time and we believe the value proposition for current and prospective MPLX unitholders will continue to be very strong. With that, I will turn it back over to Tim Griffith.
Tim Griffith: Thank you Don. With that, Hilda, I think we are ready to open the call for questions.
Operator: Thank you. (Operator Instructions). The first question comes from Brian Zarahn from Barclays.
Brian Zarahn - Barclays: Good afternoon.
Pam Beall: Hi Brian.
Brian Zarahn - Barclays: Can you provide some color on pipeline volumes in the second quarter versus year-over-year?
Don Templin: Sure. If you see on our slide four, the impact of that was about $6.8 million, Brian, year-over-year. And the two principal components of that was, one, there are continuing to be significant exports made by our primary shipper and so the refined product volumes are down. Now a number of those -- sort of decrease in volumes there are supported by minimum volume components. So, that revenue is essentially covered. And then there were some maintenance activities at some of the destinations of our crude pipelines that caused some of those volumes to be down. And those volumes typically aren’t covered by or they didn’t end up resulting in deficiency payments.
Brian Zarahn - Barclays: We’ve seen this trend of refined product volumes below the minimums because of exports; I mean is it appears to be that will be continuing for the near future?
Pam Beall: Brian, you may recall when our sponsor Marathon purchased the Galveston Bay refinery, we announced and discussed some of the optimization opportunities between Garyville refinery and the Galveston Bay Refinery. So we would expect over time as investments are made at Galveston Bay, the sponsor would tend to export more from that particular refinery; and then more of the Garyville product, life products would go on the pipeline. So, we don’t see this being a trend necessarily as significant as it is today. However, overall, the industry and our company does find MPC finds value proposition in increasing its exports. So while there will be this ongoing trend of more exports for us the Gulf Coast by refineries and our sponsor in particular, we think that this particular volume deficiency could be mitigated as some of those investments are made at Galveston Bay refinery.
Don Templin: Yes. You also recall Brian that at the time of the IPO this agreement was 10 years and so it was trying to contemplate a business not just sort of in the first or second year after the IPO but what you would be experiencing further out in the future. So, those volume commitments were set with a longer term view than one or two years.
Pam Beall: And I would just say, there are some other pipeline volumes that leave that refinery on other pipelines that over time could shift over to that particular pipeline. So, there are some of those things that we see down the road that could potentially mitigate that volume deficiency.
Brian Zarahn - Barclays: That’s all very helpful, thank you for the color. On Cornerstone so you’re starting your non-binding open season tomorrow can you – you talked about different maybe changes and scope that how will this impact potentially the cost of the project and any changes in, I mean how do you think about in service state still the 2016 if it moves forward any comments you can have on Cornerstone would be helpful.
Pam Beall: Yes. The expectation is that the primary project would still go in service we would expect by the end of 2016, so what we’re talking about is potential opportunities to go East to the water at Wellsville and then other opportunities to go West over to the Lyme area and up to Toledo and then potentially on over to Chicago, utilizing some existing pipelines and then potentially some additional construction. So it’s something that could actually we could leg into overtime in terms of any new construction. But of course that was all dependent upon the volume that producers think might be coming out of the play that would justify perhaps the bigger line between Southern Ohio and the Canton refinery. So it’s that initial leg of the pipe diameter that we’re really trying to determine that could then be a spring board for additional Utica build out projects. So those additional build out projects could potentially, once we know that when they’re coming if we were to move forward with that they may come online later in the end of 2016 but we wouldn’t expect the initial concept for the project to be later. However, the other question that you asked about was the cost of the project and it truly would be dependent upon the shipper interest that would determine the size of the pipes. So the initial project that we talked about last year at our Investor Day was about a $140 million in amount, it was 25,000 barrel per day capacity coming online late 2016. So that's really all in play depending on the outcome of open season.
Brian Zarahn - Barclays: Thank you. That's all for me.
Pam Beall: Thanks Brian.
Operator: (Operator Instructions).
Tim Griffith: Well, I assume from the silence that's it for the questions. So we want to thank everyone for joining us today on the call and to the interest in MPLX. If there are additional questions, or anyone who'd like clarification on the topics discussed Beth Hunter and Gerry Ewing will be available to take the calls. Thank you very much for joining us.
Operator: Thank you. Ladies and gentlemen this concludes today's conference. We thank you for your participation. You may now disconnect.